Operator: Welcome, ladies and gentlemen, to the Bird Construction Second Quarter 2019 Financial Results Conference Call. We will begin with Mr. Teri McKibbon's presentation, which will be followed by a question-and-answer session. [Operator Instructions] And the conference is being recorded. [Operator Instructions] Before commencing with the conference call, the company reminds those present that certain statements which are made to express management expectations or estimates of future performance and thereby constitute forward-looking information. Forward-looking information is necessarily based on a number of estimates and assumptions that, while considered reasonable by management are inherently subject to significant business, economic and competitive uncertainties and contingencies.  Management formal comments and responses to any question you might ask may include forward-looking information. Therefore, the company cautions today's participants that such forward-looking information involve known and unknown risks, uncertainties and other factors that may cause the actual financial results, performance or achievements of the company to be materially different from the company's estimated future results performance or achievements expressed or implied by the forward-looking information. Forward-looking information does not guarantee future performance. The company expressly disclaims any intention or obligation to update or revise any forward-looking information whether as a result of new information events or otherwise. At this time, I would like to turn the conference over to Mr. Teri McKibbon, President and CEO of Bird Construction. Please go ahead, Mr. Teri McKibbon.
Teri McKibbon: Good morning, everyone. Thank you for participating in Bird Construction second quarter 2019 conference call. Co-presenting with me today is Wayne Gingrich, our CFO. Before we begin the discussion on the quarterly results, since this is my first earnings call for Bird Construction, I'd like to mention that I'm honored to assume the role of Chief Executive Officer of a trusted, respected and well-respected company that in 2020 will celebrate its 100 year anniversary. I'd also like to thank and acknowledge the support in the systems I've had over the past few years from Ian Boyd who has made the transition into the company and into my new role to be seamless. 2019 year began with the continuation of the performance challenges that we faced in 2018. However, as the third quarter begins, we are pleased with the progress completing our challenging legacy projects and in the impacts of our efforts to diversify our revenue stream across the portfolio of both geographic and our balanced risk profiles. We're very encouraged by the growth of the amount awarded, but not yet contracted projects many of which are in preconstruction and in a delivery model that supports a more traditional portfolio risk balance for Bird in our overall work program and we are beginning to see our earnings base reflect this. Although, the 2019 will continue to be a transition year, we are pleased to see the directional trend of our performance and thanks to many employees of Bird for their hard work and dedication to the company. In the second quarter of 2019, East West Connectors consortium achieved financial close and entered into a project agreement to design, build and finance the Confederation Line extension project in Ottawa. The company as a preferred subcontracted to the consortium will lead the construction of several light rail transit stations and a maintenance in storage facility. Subsequent to the quarter end, the company announced that it has signed multiple contracts for services for an undisclosed amount and an LNG facility in northwestern British Columbia. The contracts include a site civil works program in the engineering procurement and construction of 16 administration and service buildings. The EPC buildings program will consist of a combination of pre-engineered and modular buildings. The contracts will start immediately and continue into 2022. Both the Confederation Line extension and recently announced LNG facility work programs contribute to an increasing the amount of our awarded or in which the company was named primary negotiation proponent that were yet to contracted to over $750 million at July 30, 2019. At yesterday's Board of Directors meeting, the Board declared the monthly eligible dividends of $0.325 per common share for August, September and October of 2019. Wayne will now take us through the financial performance for the quarter and year-to-date compared with the prior year.
Wayne Gingrich: Thank you, Teri. For the three months ended June 30, 2019 compared with three months ended June 30, 2018. During the second quarter of 2019, the company recorded a net income of $1 million on construction revenue of $315.4 million compared with a net loss of $5.3 million on $321.1 million of construction revenue respectively in 2018. Revenue growth has been impacted by higher volumes or preconstruction activities when construction management projects and the LNG project was ramping up to the second quarter 2019. The extended preconstruction fees which is longer than the originally anticipated on several pending construction management contracts has served to amplify the impact on shorter-term results due to the allocation of key resources to projects that are not yet generating gross profits. The company's second quarter gross profit of $14.4 million was $6.1 million or 72.6% higher than the $8.4 million recorded a year ago. The increase in second quarter 2019 gross profit is primarily due to a higher margin work program as a result of the mix of revenue beginning to shift from predominantly institutional and commercial projects to more self-perform industrial projects in 2019. The company's second quarter 2019 gross profit percentage of 4.6% was 2% higher than the gross profit percentage of 2.6% recorded a year ago. In terms of active projects, the company is realizing lower margins and certain components of its institutional work program that are scheduled to achieve substantial completion in 2019. In the second quarter 2019, the company experienced some further erosion on a PPP project and remain subject to ongoing commercial negotiations. On a competitive basis, year-over-year, second quarter gross profit and gross profit percentage in 2018 were negatively impacted by lower volumes recognized in the company's higher margin self-perform operations in both the industrial operations in Western Canada and the mining operations in Eastern Canada as a result of project delays and a labor strike at one of the company's primary mining clients. In the second quarter of 2018, the company incurred a significant amount of repairs and maintenance costs on its heavy civil mining fleet to take advantage of the equipment downtime due to that labor strike. In addition in the second quarter of 2018, one of the company's offices was experiencing difficulty in the execution of several projects, primarily due to design-related issues. The company had recorded provisions to account for these expected increase in construction costs on these projects which have also negatively impacted the 2019 gross profit percentage realized. The company had taken steps to mitigate further impact on results in an actively seeking recovery. Income from equity-accounted investments in the second quarter of 2019 was $1 million, $0.6 million higher than the $0.4 million in the same period of 2018. The income in the second quarter of 2019 was primarily driven by earnings from non-PPP equity-accounted entities. In the second quarter of 2019, general and administration expenses of $13.2 million or 4.2% of revenue were $2.3 million lower than the $15.5 million or 4.8% of revenue in the comparable period a year ago. And during the quarter, the company had minimal third-party pursuit costs due to an honorarium recognized for a PPP pursuit where the team was notified it was not the preferred proponent. As a result, pursuit costs were $0.9 million lower than the amount recorded in 2018. Also in the second quarter, the foreign exchange gain was $0.6 million higher, partially offsetting higher consulting fees of $0.3 million compared to the prior comparable period. Finance income of $0.5 million in the second quarter of 2019 was $0.2 million higher than the $0.3 million recorded in the same period of 2018. Finance and other costs of $1.3 million were $0.3 million higher than the $1 million reported in the second quarter of 2018. The increase was due to higher interest costs associated with loans and borrowings, non-recourse project financing, and right-of-use liabilities. In the second quarter of 2019, income tax expense was $0.5 million compared to an income tax recovery of $2.1 million recorded in the second quarter of 2018. Six months ended June 30th, 2019 compared with the six months ended June 30th, 2018. During the first half of 2019, the company recorded a net loss of $5.5 million on construction revenue of $577.2 million compared with a net loss of $11.8 million on $614.5 million of construction revenue in 2018. Although volume declined 6.1% year-over-year, the mix of revenue has changed as the company's higher margin industrial work program has increased. The first half of 2019 results were impacted by a PPP project that incurred additional cost due to design-related scope growth and acceleration expense to meet the scheduled substantial completion date. There were substantial changes to the scope of the project requested by the client that are currently under commercial negotiation. The reduction in revenue in the first half of 2019 was primarily driven by lower volumes due to harsher than expected winter conditions experienced in Central Canada in the third quarter and a higher amount of preconstruction activities on construction management projects throughout the first half of 2019. This extended preconstruction fees which is longer than originally anticipated on several pending construction management contracts has served to amplify the impact on shorter term results due to the allocation of key resources to projects that are not yet generating gross profits. However, the company's industrial work programs have begun to increase year-over-year and the more diversified mix help reduce the net loss experienced in the first half The company's 2019 first half gross profit of $20.8 million was $5.3 million or 34.1% better than the $15.5 million recorded a year ago. The increase in the amount of gross profit in the first half of 2019 is driven by higher margin projects as a result of the shift in the mix of revenue from institutional commercial projects to more industrial projects in 2019. The company's gross profit percentage in the first half of 2019 was 3.6% was 1.1% higher than the gross profit percentage of 2.5% recorded a year ago. In the first half of 2019, there was one PPP project that incurred additional cost due to design-related scope growth and acceleration expense to meet the scheduled substantial completion date. And as described previously, there were substantial changes to the scope of the project requested by the client that are currently under commercial negotiation and further impacting gross profit and gross profit percentage in 2019 was harsher than expected winter conditions experienced in Central Canada. By comparison, the first half of 2018 was impacted by a PPP project that achieved substantial completion late in the first quarter of 2018. And while the company incurred additional escalation costs and financing costs from lenders, the company was more significantly impacted by the change in treatment of variable consideration. Commercial negotiations are ongoing related to this project. Also contributing to the loss in the first half of 2018 was the lower volume due to a labor strike at a client in the mining sector. And at the time, the company incurred a significant amount of repairs and maintenance cost on its heavy civil mining fleet to take advantage of the equipment downtime realized due to labor strike. In addition, in the second quarter of 2018, it became apparent one of the company's offices was experiencing difficulty in the execution of several projects, primarily due to design-related issues. The company had recorded provisions to account for the expected increase in construction cost on these projects, which also serve to lower the future margins earned on those projects. Some of which are ongoing in 2019. Income from equity accounted investments in the first half of 2019 was $1.7 million compared with $0.7 million in the same period of 2018. The income in the first half of 2019 was primarily driven by the earnings from non-PPP equity accounted entities. In the first half of 2019, general and administration expenses of $28.2 million or 4.9% of revenue were $2.9 million lower than the $31.1 million or 5.1% of revenue in the comparable period a year ago. During the first half, the company had minimal third party pursuit costs due to an honorarium recognized for a PPP pursuit where the team was notified it was not the preferred proponent. As a result, pursuit costs were $2.3 million lower than the amount recorded in 2018. Also foreign exchange gains were $0.2 million higher and consulting fees were $0.3 million higher compared to the first half of 2018. Compensation expense was comparable to the amount recorded a year ago. However, in 2019, the company recorded $1.9 million of severance cost in compensation expense that is partially attributable to the restructuring of an underperforming office. Finance income of $1.1 million in the first half of 2019 was $0.5 million higher than the $0.6 million recorded in the same period of 2018 due to higher average cash balances year-over-year. Finance and other costs of $2.8 million were $0.8 million higher than the $2 million reported in the first half of 2018. The increase is due to $0.3 million higher loss on the mark-to-market of interest rates swaps, which will reverse back to income through the life of the derivative tied to project completion. In addition interest costs increased due to higher loans and borrowings and interest rates and interest cost recognized upon adoption of IFRS 16. In the first half of 2019, income tax recovery was $1.9 million compared to a recovery of $4.5 million in the first half of 2018. I will now turn the call back over to Teri to comment on the outlook for the company in fiscal 2019.
Teri McKibbon: Thanks, Wayne. At June 30, 2019, the company was caring a backlog of $1.38 billion, which is 6.5% higher than that recorded at December 31, 2018. The embedded margin in the backlog continues to improve driven by the positive impact of new contract awards with higher going in fees combined with the diminishing influence of several lower margin institutional projects that are nearing completion. The $661 million of new contract awards secured at the end of June -- to the end of June are across a broad range of markets that will help the company achieve a more diversified work program as well as a more traditional balanced risk profile. The company has greater than $750 million in projects that had been awarded, of which the company was named as a primary negotiation proponent that were yet to be contracted as of the end of the second quarter of 2019. Included in this figure, our projects that subsequent to quarter end, the company has signed multiple contracts or services for an undisclosed amount at an LNG facility in northwest British Columbia. These contracts include a site civil works program and 16 administration and service buildings. This program will consist of a combination of pre-engineered and modular buildings. The contract will start immediately and continue into 2022. The majority of the remaining balance of awarded projects not included in backlog are in Ontario. They include the Advanced Nuclear Materials Research Centre or the Canadian Nuclear Laboratories, CNL, located in Chalk River and the Confederation Line extension project in Ottawa where the company will lead to construction of several light rail transit stations and a maintenance in storage facility. In addition, the company is in the preconstruction phase for over $200 million in institutional projects in British Columbia, although only a relatively small fraction of this amount will be included in backlog due to the agency nature of a construction management contract delivery model. In general, the company has a higher than normal level of preconstruction activities broadly ongoing that yet to convert into contracts. This extended preconstruction phase, which is longer than originally anticipated on several and in-construction management contracts has served a negatively impacts short-term results due to the allocation of key resources to projects that are not yet generating gross profit. However, these projects are expected to contribute positively in the future earnings of the company once contracted. With respect to the PPP and design-build market, the company will continue to be selective on perspective projects matching our skill set and available resources. The longer term opportunity pipeline of major projects remains healthy, although the bidding activities is expected to trend lower in the second half of the year due to the procurement stages of the opportunities that company is pursuing and due to the selected nature of our approach. The near-term opportunities will primarily consist of smaller environmental projects and midsized social infrastructure projects. As of June 30, 2019, the company was in an active pursuit of an ambulatory care project in Atlantic Canada and is shortlisted and awaiting a request for proposals on two smaller environmental projects and in administration building for the federal government. The company is also actively preparing response to request for qualifications on one other project. The award of any of these projects or opportunities will benefit 2020 and beyond. In terms of active projects, the company is realizing lower margins in certain components of its institutional work program that are scheduled to achieve substantial completion in 2019. In the second quarter of 2019, the company experienced further erosion on a PPP project that remains subject to ongoing commercial negotiations. There is risk that this project could experience additional margin erosion in the year if a series of owner directed changes are not resolved satisfactorily, which could negatively impact overall result. Project schedule to achieve substantial completion this year. Despite the financial headwinds realized year-to-date, the company expects to have a work program in the second half of 2019 that is more balanced and diversified than it has been over the past several years, supporting progress towards higher levels of profitability and growth. Management expects the work on the Cedar Valley Lodge to be at full production through the second half of 2019 and anticipates an improvement in earnings attributable to its higher margin self perform industrial program through the remainder of the year including contributions from a two recently awarded projects at LNG Canada's export terminal facility. Due to the combination of timing of bids submission and generally the smaller scale of projects anticipated to be an active pursuit in 2019, the company expects third-party pursuit costs to remain at modest levels. Taking into consideration the company's current backlog and the pending conversions of awarded projects into contracts, the company expects to achieve a backlog year record levels in the second half of 2019. This concludes the prepared remarks section of the conference call. I will now turn the call over to the conference call operator who will take your questions in turn. Thank you.
Operator: Certainly sir. We will now begin the question-and-answer session. [Operator Instructions] The first question comes from Michael Tupholme of TD Securities. Please go ahead.
Michael Tupholme: Thanks, good morning.
Teri McKibbon: Good morning.
Wayne Gingrich: Good morning, Michael.
Michael Tupholme: Teri, can you talk about how we should think about the ramp-up of work at Cedar Valley Lodge in the second half as well as the new LNG awards that you recently announced?
Teri McKibbon: So LNG is going off to a very good start. We hit the ground in April. And I would say, we're nearing a steady state of production, obviously, this is a large scale project with 4,500 units. I'm really pleased with the performance at the site. We've had good weather. We had our partners throughout the project and performing very well. And I think that performance is giving our clients confidence for more awards. And -- so very pleased with that. I would say we're as we open August we're at a pretty steady run rate now that will take us right through the completion of the project and we're very pleased with the progress to date.
Michael Tupholme: Great. And then you did touch on it just briefly there. But I was going to ask about the potential for additional awards on this project. I mean, I realized you won a fair bit already relative to many others that may be seeking work on this project. But are there additional opportunities? And what would be the timing associated with those?
Teri McKibbon: So there remains new opportunities that are in the early planning stages. And we are -- like I said, you get access to these opportunities based on your performance and your performance has been stellar, on all fronts and safety and execution and progress to date. And very -- the team is working incredibly hard, to get us to where we are today. And -- so we were very confident that, there will be a steady pipeline of opportunities in this sector. And as that sector evolves and generally in LNG, we're optimistic to see new opportunities in LNG beyond, current sites that we're working on today.
Michael Tupholme: Okay. Regarding the $750 million of awarded, but not yet contracted work, that you talked about in the MD&A in the prepared remarks. Can you just talk about, the risk associated with the conversion of that work, into a contracted format? So I mean, I realized, you've talked about, an expectation for backlog hitting near record levels in the second half. So I think that, must sort of speak to your level of confidence. But is there any risk associated with any of that $750 million, that for one reason or another it is either delayed, or for whatever reason doesn't actually contract?
Teri McKibbon: There is always risk that, these things take a little longer. I don't feel that, the majority of the $750 million, I would say, 75% of it is, very solid, in terms of -- even in terms of timing. The balance remaining maybe 25%, might get extended into the first quarter. But these are projects we've worked on for some time. And they're not bearing some catastrophe, they are not -- no one is going to have to break some of the stuff in my opinion.
Michael Tupholme: Okay. And just a clarification, the $150 million of LNG work that is understanded is in that $750 million that has now been contacted?
Teri McKibbon: We didn't disclose the dollar value of the LNG work. But yes, those two contracts that we press released, those have been contacted in the third quarter. And in third quarter will be part of our backlog. And obviously it will come out of that $750 million number.
Wayne Gingrich: As we press released.
Michael Tupholme: Got it. Okay and then, just lastly. So Teri, I realized, although, you're new to the role as President and CEO. I mean, you've certainly been with, Bird for a little bit of time already, before assuming that position. But just wondering, now that you have assumed that role, is there anything that you've sort of look to do differently from a project oversight, execution perspective, anything that's changed on that front I guess, since you've assumed the role of CEO?
Teri McKibbon: Well certainly, with any change, with any leadership, leaders have different styles and having a different -- some with a different approach. And so for me, I'd say that, I've been in this business over 35 years. And I've seen a lot of different things. And you build off that portfolio of experience. And I'd say that, I think my reputation has been a very calculated careful approach to risk. And I'm very focused on, having a very balanced portfolio. And not getting ourselves over our sleeves, in areas where sometimes it can be -- put a real strain on your company. We have a great team here at Bird. I can't -- I didn't know a lot of -- about Bird when I first joined the company and had a couple of years to get to know the 900 employees across the organization coast-to-coast. And it's really is an outstanding team with tremendous loyalty in history in a 100-year-old company obviously. So, yeah, nothing but impressed. I think we are very calculated in how we're taking the business forward. We got a very robust program of backlog, we're moving our business into new fronts in new areas of technologies. We just completed our first modular build in Canada this week last Friday actually. I've been at Iqaluit couple weeks ahead of schedule 70 modules came in with our Stack initiative. So we've got some really exciting things. We're working on that are longer-term, but yeah, couldn't be more pleased with this opportunity and the team. And we've had some challenges that we're working through. We understand what -- how we got there and we're very determined not to see that's happen as we move forward.
Michael Tupholme: Okay. Thanks very much.
Operator: The next question comes from Felicia Frederick of Raymond James. Please go ahead.
Felicia Frederick: Hi. So last quarter, you've mentioned that the execution for earnings in the range of $25 million, which have shifted into 2020, with no mention of it this quarter. Is there any reason this guidance was removed? And is this still a feasible target for next year?
Teri McKibbon: So I will really answer that. Coming in new as a CEO, I worked in public companies in my entire life and I've never provided guidance. And as this is my first quarter as a CEO, I've taken the position that we won't be providing guidance going forward.
Felicia Frederick: Okay. Thank you.
Operator: Your next question comes from Maxim Sytchev of National Bank Financial. Please go ahead.
Unidentified Analyst: Hi. This is Adam filling in for Max this morning. With the increase in industrial backlog into the current backlog, how does that affect the working capital seasonality for the back half of this year?
Teri McKibbon: Yeah. I think historically the trend we'd see -- our cash flow increased primarily and our cash balances increase in fourth quarter. I think this year what we're going to see is more an investment in our non-cash working capital in the back half of the year as the self-perform industrial works starts to ramp up. So I think that will be a little bit different trend then we've seen in the last three or four years.
Unidentified Analyst: Okay, great. That's it for me. Thanks.
Operator: There are no further questions at this time. I will now hand the call back over to Mr. McKibbon for closing remarks.
Teri McKibbon: Well, thank you for participating in Bird Construction 2019 second quarter conference call. Wayne and I are available of additional information if required. So please do not hesitate to get in touch with us. Have a good day. Thank you.
Wayne Gingrich: Thank you.
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.